Operator: Good day, everyone and welcome to Orbital Energy Group First Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management's remarks. As a reminder, this conference is being recorded.  I would now like to turn the conference over to your host Mr. John Beisler, Investor Relations. Please go ahead, sir. 
John Beisler: Thank you, [Boida] (ph). Good morning everyone, and welcome to Orbital Energy Group's first quarter 2022 conference call. Earlier this morning the company issued a press release for its first quarter 2020 earnings results. A copy of this release is available in the Newsroom under the Investor Relations section of the Orbital Energy Group website.  Speaking on today's call are, Jim O'Neil, Vice Chairman and Chief Executive Officer; and Nick Grindstaff, Chief Financial Officer. Today, management will review the highlights and financial results for the first quarter and as well as recent developments. Following the formal remarks management will answer questions.  I would also like to remind everyone that today's call will contain certain forward-looking statements made under the Securities Act of 1933 and Security and Exchange Act of 1934 as amended. Such statements are subject to risks and uncertainties that could cause actual results to vary materially from those projected in the forward-looking statements. The company may experience significant fluctuations in future operating results due to a number of economic, competitive and other factors, such as COVID 19, the company's reliance on third-party manufacturers, supply and service providers, government agency, budgetary and political constraints, new increased competition, changes in the market, demand and the performance or liability of its products, integrated solutions and services. These factors and others could cause operating results to vary significantly from those in prior periods and to those projected in the forward-looking statements. Additional information with respect to these and other factors, which could materially affect the company and its operations are included in certain forms that company has filed with the Securities and Exchange Commission. These forward-statements are based on information available to Orbital Energy Group as of today, May 16, 2022, and the company assumes no obligation to update statements as circumstances change.  With that, I would like to turn the call over to Jim O'Neil, Vice Chairman and CEO of Orbital Energy. Jim, please go ahead. 
Jim O’Neil: Thank you, John. Good morning, and thank you for joining us today to discuss Orbital Energy Group's first quarter 2022 results and our outlook for the rest of the year. Before I begin with my quarterly commentary, I want to thank our employees for the safe and efficient delivery of services to our customers. Each of our employees represent the OEG brand and their efforts are recognized and very much appreciated.  Now to the developments of the first quarter. We continue to make progress towards building our infrastructure strategy across our three operating segments: serving the electric power; telecommunications; and renewable industries. This morning we reported first quarter results that demonstrate we are off to a great start this year with record quarterly revenues of $70.3 million. Backlog at the end of the quarter was $513.5 million, which we believe reflects the continued advancement of our long-term growth strategies. We continue to see opportunities for multi-year growth across our service lines, driven by our solutions based approach and the growth of spending with existing and new customers.  Most importantly, OEG achieved positive adjusted EBITDA, a non-GAAP measure of $3.8 million in the first quarter of 2022. This milestone is the first since I've been with the company and we believe a significant indicator of our steady progress towards improving shareholder value. Our Electric Power segment delivered a 70% increase in revenues in the first quarter of 2022, compared to the fourth quarter of last year. This growth is attributed to the ongoing demand for our electric power and substation services, primarily driven by our investor-owned utility customers and a very robust market environment, which we believe will not subside for the foreseeable future.  Our Telecommunication segment also increased revenues 24% in the first quarter over prior quarter. Factors contributing to this growth included a significant increase in the ramp in RDOF program construction on previously awarded projects by Charter and TEC over our five state area, as well as an increase in construction revenues associated with broadband deployments by other customers. The outlook for our Telecommunications segment is also very positive as we believe that fiber deployment to rural America, as well as broadband and wireless infrastructure upgrades is necessary to enhanced 4G, LTE and the continued rollout of 5G spectrum will increase the need for our services for many years to come.  In the first quarter the Telecommunication segment completed the acquisition of Coax Fiber Solutions LLC our CFS, which while not a material events to the company it is none the less an important strategic acquisition to enhance our capabilities with customers. CFS is an outside plant contractors specializing in the aerial and underground Coax fiber installation. CFS was a strategic play to enhance our future position with at least two telecommunication customers and we expect to begin realizing the benefits of this acquisition later this year or in 2023.  And lastly, our renewable division underperformed during the quarter, largely due to civil construction delays and the inefficiencies caused by persistent rainfall on the Black Bear utility scale solar project located outside of Montgomery, Alabama. Mitigation plans are in place to get this project back on track, which we include organizational changes that were made subsequent to the quarter end. As we continue to position overall solar for future success, Robert Burns, a season proven professional in the utility scale solar industry joined the company as Orbital Solar President. In addition, Mike McCracken current role as GTS’s CEO expanded to include Orbital Solar CEO. I'm confident that the addition of Robert and Mike in their new roles will greatly enhance OSS’s success in the renewable infrastructure business going forward.  On a consolidated basis OEG exceeded our financial expectations of breakeven EBITDA for the first quarter of 2022. Our outlook for the remainder of this year remains unchanged. We are reconfirming our revenue and EBITDA guidance for the full year of 2022, which is a revenue range of $375 million to $425 million and an adjusted EBITDA range of $38 million to $43 million. The outlook for our services in the electric power and telecommunication segments continues to strengthen, despite supply chain challenges fuel costs, the recent changes in the state of the US economy and in the world, numerous multi-year drivers exist today that will drive an increasing need for our infrastructure services to upgrade and expand the nations electric power and telecommunications infrastructure.  These drivers include, aging infrastructure, storm hardening of infrastructure, reconfiguring the electric grid from traditional sources of fossil fuel to renewable generation, shifting population centers, the nation's move towards electrification, which includes electric vehicles, smart grid and smart city deployment, the enhancement of 4G LTE spectrum and the rollout of the 5G spectrum. Our renewable segment, specifically, the outlook for utility scale solar awards, and additional construction revenue to fill the uncommitted revenue forecast and our guidance remains viable despite headwinds from supply chain and potential tariff increases on solar panels manufactured abroad. Most of the opportunity pipeline we are reviewing with clients has secured panels and outsourcing from US manufacturers and we believe it is still likely we will receive additional project awards that will move towards construction this year now.  Now a quick update on our discontinued operations. Last week we announced the sale of OEG’s UK gas business, Orbital Gas Systems Limited to nZero Group Limited. We are pleased this transaction is concluded and we have achieved yet another milestone in our infrastructure strategy transition. We are currently on our exclusive LOI with a potential acquirer for our Orbital Gas US operations, which we hope to finalize in the next several months.  Now, I will turn the call over to Nick Grindstaff, our CFO, for his comments on the quarter and our 2022 outlook. Nick? 
Nick Grindstaff: Thank you, Jim. Today we announced record quarterly revenues of $70.3 million for the first quarter of 2022. Loss from continuing operations, net of income taxes was $36.7 million with an adjusted EBITDA of $3.8 million, which is a significant milestone as this is the first time since the company's transition to an infrastructure services provider and adjusted EBITDA has been positive and it is a significant indicator that we are successfully executing on our infrastructure strategy as we move toward profitability.  As we stated last quarter, we believe adjusted EBITDA is the best financial measure as an indicator of operational performance. You will find a reconciliation of EBITDA and adjusted EBITDA, both non-GAAP measures to loss from continuing operations, a GAAP measure as a supplement to our first quarter earnings press release. For the first quarter, loss from continuing operations was $0.44 per share. As a reminder, the financial results I’m providing today our from our continuing operations and do not include results from our Orbital Gas North America or Orbital Gas UK entities. Which were reclassified as discontinued operations in December and at the end of the first quarter were included in assets held for sale. Detailed results from our discontinued operations will be disclosed in our Form 10-Q.  In the first quarter of 2022, our consolidated revenues and adjusted EBITDA increased 71.5% and 425.3%, respectively, as compared sequentially to the fourth quarter of 2021. These results demonstrate continued improvement in our operational performance and positions the company to deliver much improved financial results for the full year of 2022. In the first quarter of 2022 the Electric Power segment increased revenue 70% to $39.7 million, compared to the fourth quarter of 2021. Adjusted EBITDA for the segment was $7.9 million or 20% of revenues for the quarter. The primary driver is ongoing increased demand for our Electric Power distribution services. Over the same period the Telecommunication segment increased revenues 23.8% to $16.1 million with adjusted EBITDA of $2.2 million or 13.8% of revenues. Primarily due to the ramp up of construction on RDOF programs over five state area.  The Renewable segment had an increase in revenues of 202.1% from the fourth quarter of 2021 to $14.5 million with an adjusted EBITDA loss of $2.3 million. The margin shortfall was primarily due to inclement weather challenges and operational inefficiency on the Lightsource BP, Black Bear utility scale solar projects. Certain holding company cost exist outside of the defined operating segments. For the first quarter these costs were $4 million. Our total backlog was $513.5 million at the end of the first quarter of 2022, a slight decrease of 1.9% from year-end. However, 12-month backlog increased 7.5% to $294.6 million in the fourth quarter of 2021, which we believe is an indicator of the robust business environment we are operating in today as total backlog can fluctuate due to the timing of multi-year master service agreement revenue burn versus contract renewals.  One of our top priorities is to optimize the company's capital structure to ensure our ability to fund strategic growth, both organically and through acquisition, while maximizing shareholder value. We currently have tranches of debt that are due in the next 12 to 18 months. These tranches of debt have high interest coupons and require significant principal payments. The structure of this debt has a material negative impact on our cash flow. Improving our capital structure with regard to a few tranches of our debt is of utmost priority and we continue to focus on this aspect of our balance sheet. Our improving financial performance is a strong signal to the capital markets and we are currently reviewing multiple term sheets, which have been recently submitted by lenders. I'm confident with continued operational performance we will be successful in restructuring these debt obligations.  Subsequent to the quarter, we reached an agreement with the frontline power sellers to refinance to seller notes. $20 million of the $87 million has been paid with the proceeds from the recently announced equity transaction, $15 million of the remaining $67 million will be paid at year-end 2022 and the remaining $52 million has been extended to May 31, 2023. As part of the front line power sellers agreement to defer a portion of the seller's note, a $4 per share floor price was established for the 11.6 million shares of common stock as part of the acquisition consideration. 62% of the shares are subject to lock up until November 16, 2022 and 38% are subject to lock up until November 16, 2023. This agreement is subject to mark-to-market accounting. And as such, a non-cash $25.9 million cost was incurred for the quarter. The mark-to-market accounting will require an adjustment every quarter based upon OEG stock price until the lock-up period expires.  Turning to guidance, as Jim commented, we expect strong revenue and adjusted EBITDA growth for the remainder of 2022. As such, we reconfirm our full year guidance, a consolidated revenue range of $375 million to $425 million and then an adjusted EBITDA range of $38 million to $43 million. This reflects year-over-year revenue growth of 3%, and an improvement of $67.5 million in adjusted EBITDA for the full year 2022, compared to 2021 for the midpoint of our guidance.  Our segment guidance also remains unchanged. As it relates to the Electric Power segment, we believe 2022 revenues will range between $115 million and $130 million with adjusted EBITDA margins to be in excess of 20%. Any storm revenues we might realize in 2022 is not included in this guidance. In our Telecommunication segment, we expect revenues in the range [Technical Difficulty] to $70 million, with adjusted EBITDA margin expectations for this segment in the mid-teens.  Finally, in our Renewable segment, for the full year of 2022, we anticipate revenues in the range of $200 million to $225 million, with adjusted EBITDA margins for this segment in the mid-single digit. As a reminder, Orbital Solar provides engineering, procurement and construction solutions to the utility scale solar market through its joint venture with Jingoli Power, where Orbital Solar will consolidate 100% of revenues generated will absorb costs in the project [indiscernible] for their participation, which contributes to a lower margin profile for the segment.  Certain holding company cost exists outside of the defined operating segments. We continue to estimate these costs to be $15 million for 2022. You will find a reconciliation of EBITDA and adjusted EBITDA, both non-GAAP measures to loss from continuing operations, a GAAP measure as a supplement to our fourth quarter earnings press release as it relates to our expectations in 2022.  Now I will turn the call back over to Jim. 
Jim O’Neil: Thank you, Nick. In conclusion, as a top 10 Orbital Energy Group shareholder I’m very much aware of our current stock price and capital structure challenges. Successful execution of our infrastructure strategy and delivering improving financial results is the best remedy for addressing these challenges. We are currently positioned in very robust end markets with multi-year growth drivers. We believe we're in the most prolific time in the history of the industries we serve and the need for our services. We will continue to execute on our infrastructure strategy with the goal of achieving our 2022 financial expectations.  Operator, that concludes our prepared remarks, and we'll now open the call to Q&A. 
Operator: Thank you, sir. [Operator Instructions] Your first question is from Jeffrey Campbell of Alliance Global. Your line is open. 
Jeffrey Campbell: Good morning, and congratulations on the strong quarter. 
Jim O’Neil: Good morning, Jeff. Thank you. 
Jeffrey Campbell: I noticed that SG&A dropped about 35% in the quarter, and I also saw the negative stock options illustrated in the cash flow statement. I just wondered if this was largely related to the Orbital Gas sale or something else? 
Nick Grindstaff: No. Hey, Jeff, this is Nick. We had a -- on the G&A side, we had some charges associated -- some credits associated with some stock comp that is reflected through G&A as just one time credits. 
Jeffrey Campbell: Okay, thank you. Can you expand a little bit on the solar project delay then you mentioned this morning. [indiscernible] alters your 2023 guidance, is it safe to assume the delays are expected to be made up over the rest of the year? 
Jim O’Neil: Yeah. I mean, look, with these projects we have firm on completion dates and we plan to make those completion dates. So yes, we will make up time on the Black Bear project. The civil aspect of any job obviously is in my opinion, the most risky piece, especially, I hate to talk about weather, but weather can impact production and that's what's happened. So we're still in the several phase of that project, we're working our way through it and I'm confident we'll get back on schedule on this project. 
Jeffrey Campbell: Okay. And bearing all that in mind, maybe Nick, can you update the revenue cadence for the rest of 2020. 
Jim O’Neil: The revenue cadence would be, I mean, obviously, we expect ramps -- ramp in revenue. And I think we've talked about this before, that the third quarter is our higher revenue period. The second and fourth were -- probably second and third and they can take an alternate and the first quarter is a lower. So we expect to ramp in revenues in the second and third quarter and obviously with some of the solar revenues being delayed from a revenue recognition standpoint, we'll probably have bigger quarters in the second and third quarter because of the conducive nature of those revenues with the completion dates in mind on the Black Bear project. 
Jeffrey Campbell: Right, that's helpful. Thank you. We haven't heard about any new GTS projects for a while. I just read that Washington has released $110 billion to infrastructure spending with broadband specifically high-line. And you mentioned the recent acquisition of in the division could lead to further contracting. So I thought maybe a little high level color here would be helpful. 
Jim O’Neil: Yeah. Look, we're still in the early stages of RDOF awards. None of our guidance takes into effect any federal funding other than RDOF projects that we are having in or any -- so any federal funding on the infrastructure would be additive to what we're doing. And in the acquisition it was basically a very small acquisition that was strategic that allowed us to access to two customers who we worked for in the past, GTS has, but it further positions us to become what they call a Tier 1 supplier to these customers. And that's going to play out over the next probably towards the end of the year and into next year. It's just further positioning the company to expand its services with new customers and expand our geographical footprint. 
Jeffrey Campbell : And on that point, would the expanded warrant could be -- likely to be more hard off work or is this a different work entirely. 
Jim O’Neil: It’s all of the above. I mean these customers have received RDOF award, but they also have legacy systems with the 4G LTE enhancement, as well as the rollout of 5G. And so this company brings those outside plant construction capabilities which are proven with these customers that they’ve worked for before and provide significant upside opportunity for us once these customers roll out their programs. 
Jeffrey Campbell: And finally, now that organic Orbital Power is operating under former Frontline power construction leadership. I wondered if you could provide some sense of how this might develop going forward? Meaning, Frontline is largely been an Texas based business, whereas Orbital Power as operations outside of Texas, so wondering well Orbital Power continue look to grow through additional MSAs? Might Frontline start to expand outside of Texas? Just sort of your high level view of this would be helpful. 
Jim O’Neil: I mean, yeah, look for all of our segments the objective is to build our client base. First, the objective is to take care of the clients we have and grow with them. Secondly would be to, expand with new customers. I think the key to the legacy Orbital Power Group right now is to enhance the margins before we grow that business. But there is significant opportunity to grow in this very robust market with new customers, it's really about making sure that you bring on the right people to -- and obviously the equipment footprint is necessary too as well to expand. So I think that the benefit of both the Frontline leadership being over the electric power segment is synergies, best practice transfer to enhance margins and certainly collectively we could provide broader solutions to existing and new clients.  So we're going to be very thoughtful and strategic about growing the non-union part of our business, we need -- the profitability is the primary objective right now. 
Jeffrey Campbell: Got it. Okay. Thank you. I appreciate it. 
Operator: Our your next question is from Eric Stine of Craig-Hallum. Your line is open. 
Eric Stine: Hi, Jim and Nick. 
Jim O’Neil: Hey, good morning, Eric. 
Nick Grindstaff: Good morning. 
Eric Stine: Good morning. So I’m just thinking about the outlook here for 2022, obviously, with that backlog you've got, very good visibility for electric power and telecom. So just curious, I mean, given the narrow EBITDA range, obviously, solar is kind of the piece that's going to drive low end versus high-end of guide. Just curious, do you need additional business -- just to confirm, do you need additional solar wins that potentially hit in 2022 to reach those levels? Or is this more about just completing happy and then again getting back on the timeline for Black Bear? 
Jim O’Neil: So we think that we're going to win one or two more awards this year that will move to construction. If that didn't happen the revenue guidance they make may have shortfall and again we have put through our confidence that we're going to hit that guidance right now. But if it didn't happen the revenue guidance wouldn’t make it, but I do think that the EBITDA guidance with this certainly would be in play, even without solar because additional solar because of the significant opportunities that we see on -- in the consolidated portfolio which includes Electric Power and Telecommunications. And the margins in those groups were four and five times more as a percentage of revenue than solar. And so it doesn't take much to make up. I mean, we had $100 million in shortfall in solar, it's $5 million to the bottom line, right? And that's very little incremental growth in telecom and Electric Power to make up for that. So that would be the worst-case scenario. I think that the EBITDA guidance is very much in play, even if we did have shortfalls in solar on the revenue side. 
Eric Stine: Yeah. Okay, understood. That's great. In the previous questions, I think, focused on front line and maybe I'll ask it a little bit differently or just clarify things here. But I know Frontline is very exposed to, I guess, a handful of customers, may be a large customer in -- a lot of it in Texas. I mean is this something now that Frontline is under the Orbital umbrella that you can expand those capabilities or that reach to other states, other regions, other large customers? 
Jim O’Neil: So look, that's a great question and with or without us consolidating those groups into the electric power segment, we've made a conscious decision to focus on the customers that we have in hand and their needs. We will get calls all the time for proof. And so that's how prolific the market is right now. I mean, we could go to work for any investor on utility that’s across the South right now. We get calls all the time. Our focus is to grow with and take care of the customers that we have a key concentration with now and have a legacy relationship with. So if people worried about concentration, I'm not worried about concentration in electric distribution because we could pivot growth and move to another customer immediately if we had to, which won’t happen, but if it did, it wouldn't be a problem. 
Eric Stine: Got you. So you have plenty of room to go there. Okay, maybe then this is just high level. I mean, obviously the cap structures of your -- of utmost focus here, but just as you think about the platform going forward, I mean, do you feel like there are other areas? I know, I mean you are making some and you mentioned a small acquisition here in telecom. I mean is there any other spots that you think you’d really need to fill in. Or do you believe that you've got the platform now and that you can continue on the process? 
Jim O’Neil: We have a platform in place. We're not interested in expanding into any new service areas. The Telecommunication and Electric Power markets are highly fragmented. There is significant opportunity for us to grow there. That's what our focus is. We want to build our recurring revenue model and predictable certain markets where we sign multi-year agreements with customers and it gives investors’ confidence that we've got the certainty and outlook in our business. You're going to see very little fluctuation in margins and a strong margins, and you're going to have steady revenue growth and that's what we want to continue to build. At some point we want that business to be 80% of our revenues and not solar be 50% of our revenues. 
Eric Stine: Got it. Thanks a lot. 
Jim O’Neil: Yeah. Thank you, Eric. We appreciate it. 
Nick Grindstaff: Thank you. 
Operator: No more questions. And I would like to turn the call back over to Jim O'Neil for closing remarks. 
Jim O’Neil: Well, thank you all for joining our first quarter 2022 earnings calls conference call today. We certainly appreciate your time this morning and look forward to following up with many of you in the coming days. Thank you very much and have a great day. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.